Operator: Greetings, and welcome to the GMS Third Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Carey Phelp, Vice President, Investor Relations for GMS. Thank you. You may begin.
Carey Phelps: Thank you, Melissa. Good morning, and thank you for joining us for the GMS earnings conference call for the third quarter of fiscal 2023. I am joined today by John Turner, President and Chief Executive Officer; and Scott Deakin, Senior Vice President and Chief Financial Officer. In addition to the press release issued this morning, we have posted PowerPoint slides to accompany this call in the Investors section of our website at www.gms.com. As highlighted on Slide 2, during today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent management's current estimates and expectations. The company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC, including the Risk Factors section in our company - in the company's 10-K and other periodic reports. Today's presentation also includes a discussion of certain non-GAAP measures. The definitions and reconciliations of these non-GAAP measures are provided in the press release and presentation slides. Please note that references on this call for the third quarter of fiscal 2023 relate to the quarter ended January 31, 2023. Finally, once we begin the question-and-answer session of the call, in the interest of time, we kindly request that you limit yourself to one question and one follow-up. With that, I will turn the call over to John Turner. JT?
John Turner: Thank you, Carey. Good morning, and thank you all for joining us today. We are pleased to report solid financial results once again this quarter at levels consistent with our prior expectations, building on the progress realized in the first half of our fiscal year. Strong multifamily residential demand, year-over-year growth in commercial Wallboard volumes and continuing momentum in the sales of complementary products, helped to offset a difficult prior year comparison in Steel Framing as well as regional volume declines in the single-family market this quarter. Looking at Slide 3. With comparisons to the third quarter of fiscal 2022, our team successfully managed continuing inflationary dynamics in Wallboard, Ceilings and Complementary Product, while working through a notable shift in end market mix. For the quarter, we grew net sales 7% to $1.23 billion with a 9.4% increase in gross profit to $402.2 million. Our teams continue to do an excellent job addressing the demands of each of our customer categories, with U.S. volumes and multifamily Wallboard continuing to stay strong, up nearly 20% and with commercial Wallboard volumes up 5.6%, sustaining the positive year-over-year growth in commercial Wallboard volume that began early this fiscal year. The strength in these customer categories helped to offset a 10.6% decline in U.S. single-family Wallboard volumes as builders have reduced their backlogs in most of our geographic regions. Office construction for both new and remodel remained quiet during the quarter, resulting in a decline in ceiling tile volumes. Also impacted were steel volumes and pricing, which were challenged this quarter against a tough comparable period when significant gains were reported a year ago during the supply chain dislocation we experienced in this product line. Net income improved 5.5% to $64.8 million and adjusted EBITDA grew 4.3% to $140.8 million. And finally, our free cash flow improved more than $80 million to $122.5 million. Our team's ability to flex as needed to meet the demands of all of our customer categories, our commitment to delivering outstanding service and the continued execution of our four strategic priorities helped drive these results. On Slide 4, we highlight our progress this quarter in advancing our strategic initiatives. While volumes are contracting in the single-family space, as most regions have worked through the bulk of their backlogs, our teams worked hard to maintain or grow our share in our core products and deliver exceptional service to our customers despite significant weather disruptions. Looking at each of our core product categories, recently released industry data indicates that we successfully grew our share in Wallboard for the full calendar year 2022. Likewise, although the overall Steel Framing market continues to correct from supply chain disruptions and softening demand, driven primarily by the office segment decline, industry data for Steel Framing also indicates that we grew our share during calendar 2022. Finally, looking at our Ceilings business, while acoustical ceiling tile and grid has been negatively impacted by the lack of new office and tenant improvement work, our sales of architectural specialty ceilings, where we have been making key investments in alliance with our manufacturing partners, grew nicely this quarter. We remain confident that over time, leveraging our scale and commitment to delivering best-in-class service and product availability will help us continue to grow our core product lines. Growing our complementary products has also consistently been an important part of our success over the last few years. Both the organic and inorganic expansions of these adjacent complementary products have enhanced our appeal to our customers and, in many cases, have served as a boost to our EBITDA margins. Comprising nearly 30% of our net sales, we continue to benefit from both higher prices and volumes during the quarter, growing our complementary product sales by 11.7% in total and 8.2% organically. In particular, we are focusing on the expansion of several of our larger complementary subcategories, including tools and fasteners, the stucco and EIFS product lines and the insulation, which collectively grew 16.8% for the quarter. We intend to continue to further expand our offerings while driving both purchasing and marketing best practices across our regions, thereby enhancing our value to our customers. Another avenue that we are employing to drive growth is through accretive acquisition and Greenfield opportunities. During the quarter, we were very pleased to make our first entries into the New York City market. The acquisition of Tanner Bolt & Nut, added four metro area locations, specializing in the distribution of tools and fasteners and other related construction products. This acquisition represents a platform from which we intend to expand our tools and fastener offerings in New York and surrounding areas, and more broadly, tools and fasteners is a margin-accretive product set that we intend to expand across many of our geographies. In addition, during the quarter, we took further steps to expand our platform with the opening of a ceilings focused Greenfield in New York City and another new Greenfield yard in Chester, Virginia. Including these additions, we've now opened six Greenfields this fiscal year. And finally, we also continue to execute against the growth strategy of our AMES business during the quarter, opening three more store locations, thereby growing this margin-accretive business as well. Looking ahead, given the still fragmented nature of our industry, the remaining opportunity to fill in service gaps and white space and our widening pursuit of complementary products, we believe ample acquisition opportunities remain, and we have an active pipeline of candidates that we are pursuing. And finally, with a broad focus across our organization, we continue to leverage our scale and employ technology and best practices that improve both cost and service. In the past, I've discussed our yard of the future activities, wherein we are providing online access for our customers to make it easier for them to do business with us. In addition, we are equipping our yard operators with automation tools to improve picking, loading and staging efficiencies, thereby improving delivery turnaround and customer wait times. At this point, we have rolled out these time-saving tools to our operators in more than 40% of our larger yards and plan to roll out this automation to all of our yards in the U.S. that have the scale to benefit. And so while this work continues, we are also always looking to drive out complexity costs more broadly in our business. For example, we recently completed an internal restructuring of one of our divisions, consolidating back-of-house functionality across multiple subsidiaries, thereby reducing organizational and process complexity, while also enabling the standardization of product and customer data throughout. Completion of this project reduces cost and serves as a foundation for profit improvement in this region as well as a model for other divisions. Overall, I am again very pleased with the hard work and commitment demonstrated by our team to drive solid results as we execute our strategic priorities in a dynamic market. With that, I'll now turn it over to Scott to provide more perspective on our results. Scott?
Scott Deakin: Thank you, JT, and good morning. Looking at Slide 5, net sales increased 7% year-over-year to $1.23 billion for the quarter. Organically, sales rose 6.4% after adjusting out both acquisitions and the unfavorable impact of foreign exchange translation. From a U.S. end market perspective, by the resilient pricing we've seen in Wallboard, residential continued to lead the way with sales dollars up more than 14.4%, including 28.1% growth in multifamily and 10.2% growth in single-family. Moreover, Commercial Wallboard volumes again improved this quarter over the same period a year ago. Sales dollar growth for commercial, however, was up only slightly year-over-year, reflecting volume declines in ceilings and steel as well as falling steel prices. Wallboard sales of $500.7 million increased 20.6%, comprised of a 20.3% increase in price and mix with a slight 0.3% increase in volume. Organically, third quarter Wallboard sales grew 21.2% year-over-year, also comprised almost entirely of price and mix benefits. Declining demand for single-family construction materials most heavily affected this product segment, driving the volume reduction despite offsetting strength in multifamily and commercial. In terms of U.S. Wallboard volume, specifically, multifamily residential gains of nearly 20% continue to far outpace the 5.6% growth in commercial and the 10.6% decline in single-family. Wallboard pricing has remained resilient and has benefited from a mix shift toward higher commercial volumes. Our average realized price for the quarter was $473 per MSF, only down $1 from our fiscal second quarter and up 20.2% as compared with a year ago. Additionally, we ended the quarter higher than the Q3 average with a price of $480 per MSF for January. Ceiling sales of $146.8 million for the third quarter were up 4.9% as compared with a year ago as a 9.5% benefit from price and mix offset a 4.6% decrease in volume. Organic sales and ceilings grew 5.2%, with 9.8% of price and mix. Volume dynamics included a shift toward architectural specialties activity, supporting projects primarily in medical and higher education facilities, partially offset by a 4.6% decrease in acoustical volume as large office and tenant improvement work remains muted. Third quarter Steel Framing sales of $234.5 million decreased 17.1% versus the prior year quarter, with price and mix down 13% and volumes down 4.1%. This compares with the third quarter of fiscal 2022, where inflation and constrained product availability drove a short-term increase in both price and volume. In addition, as we mentioned on previous calls, one of the most significant customer categories for this business is large office for both new and remodel, which despite some limited conversion activities remains relatively quiet. While lower-rise, stick-framed multiuse construction has been more active. Organic sales in Steel Framing declined 16.8%, comprised of a 12.7% decrease in price and mix and a 4.1% decline in volume. As expected, prices for Steel Framing products have been declining each month sequentially since July. And for the first time since the second quarter of fiscal 2021, this quarter's average price fell below the same period a year ago. Complementary product sales of $352.6 million were up 11.7% year-over-year as we benefited from positive contributions from acquisitions as well as improved pricing across the category. Sales in this category were up 8.2% organically, with the increase coming mostly from price and mix, but with moderately increased volume as well. As referenced earlier, due to our focus on tools and fasteners, EIFS and stucco and insulation. These products collectively delivered higher sales growth than the broader category with third quarter sales growth of 16.8%. Now turning to our gross profit during the quarter. Our gross profit of $402.2 million increased 9.4% as compared with a year ago, principally due to continued successful pass-through of product inflation, improved commercial Wallboard sales, growth in complementary products and incremental gross profit from acquisitions. Gross margin of 32.6% increased 70 basis points year-over-year with strong margins in complementary products and better-than-expected margins in Steel Framing, as our teams remain focused on inventory management and diligent project quoting as well as execution on negotiated year-end volume incentives. A relative mix shift that was more heavily weighted towards commercial Wallboard volumes also benefited gross margins in the quarter. These gains were partially offset by higher operating expenses, however, given the logistical complexity and higher cost to serve in these applications. This and other OpEx highlights are covered on Slide 6. In addition to the end market mix shift in volumes between single-family and commercial demand, operating expenses during the quarter were also negatively impacted by wage inflation, higher fuel and maintenance costs and unfavorable weather conditions, which impacted our normal operational efficiency for both labor and equipment as we continue to honor our commitment to provide best-in-class service to our customers. For the quarter, adjusted SG&A as a percentage of net sales was 21.4% as compared with 20.4% a year ago. I'll consider net income increased 5.5% to $64.8 million or $1.53 per diluted share compared to net income of $61.4 million or $1.40 per diluted share. Growth in earnings per share for the quarter outpaced net income as a result of a $100.4 million in share repurchases completed since the end of January 2022. During the quarter, we repurchased approximately 656,000 shares for $33.2 million compared with 87,000 shares repurchased for $4.7 million during the prior year quarter. Fiscal year-to-date, 1.8 million shares have been repurchased at an average price of $46.66. As of the end of our fiscal third quarter, we had $128 million of repurchase authorization remaining. Finally, as it relates to the P&L, adjusted EBITDA for the quarter improved $5.8 million or 4.3% to $140.8 million. Adjusted EBITDA margin was 11.4% compared with 11.7% for the third quarter of fiscal 2022. Now shifting to our cash flow and balance sheet metrics, which are shown on Slide 7. During the quarter, we again recorded significantly improved levels of cash flow as supply chain constraints moderated. Cash provided by operating activities during our fiscal third quarter was $134.1 million compared with $57.2 million a year ago. Free cash flow was $122.5 million for the quarter compared with $40.2 million for the same period last year. Capital expenditures of $11.6 million for the third quarter compared to $17 million in the prior year quarter. For full year fiscal 2023, we now expect capital expenditures to be approximately $40 million to $45 million. At the end of the quarter, we had substantial liquidity position with cash on hand of $186.7 million and $574.4 million of available liquidity under our revolving credit facilities. As a reminder, in late December, we amended and expanded our ABL credit agreement, increasing the revolving commitments there - available thereunder by $405 million to $950 million and extending its maturity to December 2027. Under the new terms of the ABL facility, we also now have the ability to borrow Canadian dollars up to $200 million, and therefore, in connection with the completion of this amendment, we terminated our Canadian ABL credit agreement. We continue to monitor upcoming maturities of the other facilities in our capital structure. At January 31, our net adjusted EBITDA debt leverage was 1.6x, down from 2.3x a year ago. We expect to end the year with substantial liquidity and expect to generate full year free cash flow for fiscal 2023 of approximately 55% of adjusted EBITDA. Going forward, we will continue to align our capital allocation to our 4-pillar strategy, balancing investing in our strategic initiatives with paying down debt and opportunistically leveraging favorable market conditions for share repurchases and as they arise. With that, I'll now pass the call back to JT to provide some perspective on our broader end markets and our outlook for the fourth quarter.
John Turner: Thank you, Scott. Turning to Slide 8. As we begin the final quarter of our fiscal year, as expected, we are beginning to see a decline of single-family demand across most markets, reflecting the slowdown in permits and starts activity and narrowing of the construction backlog that was in place at the start of our fiscal year. Going forward, this single-family demand trend is expected to continue in the near term, as homebuyers take a pause in light of higher interest rates and affordability concerns. We are, however, encouraged by the recent positive commentary from homebuilders regarding their sequentially improved activity levels so far during calendar 2023. Nevertheless, we remain cautious in our near-term outlook assumptions. However, over time, we are confident that favorable demographics and the sizable structural need for housing, along with the need to improve affordability will drive an increase in housing construction. As a result of the near-term outlook and in line with our efforts to drive improved productivity, subsequent to the end of our fiscal third quarter, we took steps to improve our cost structure specifically, in addition to flexing variable and discretionary costs, we took actions to address areas of fixed cost redundancy. These actions reduced our workforce by roughly 170 positions. And as phased in, are expected to lower operating expenses by $15 million on an annualized basis. In association with these steps, we will record a onetime charge of approximately $2.5 million in our fiscal fourth quarter for severance and other onetime implementation costs. These will be added back for the purposes of calculating non-GAAP adjusted EBITDA for the quarter. With that, let me provide our outlook for our fiscal fourth quarter, which is highlighted on Slide 9. Starting with the outlook for each of our end markets and using Wallboard as our proxy, despite moderating somewhat, Stats numbers in multifamily remain historically elevated and there remains a large backlog of projects under construction. Given their longer build times, we expect multifamily to continue to outpace our other end markets with more than 20% year-over-year volume growth in our fiscal fourth quarter, with continuing positive trends through at least mid-calendar year 2023. Commercial is also expected to continue its relatively stable demand trends with single-digit volume growth expected for the fourth quarter. And finally, single-family volumes are expected to deteriorate further, likely declining in the high teens as compared to a very robust fourth quarter of fiscal 2022. While we can't fully predict the degree or timing of market price elasticity going forward, for planning purposes, we are currently projecting year-over-year mid- to high teen inflation in Wallboard pricing, flattish prices in ceilings and slight inflation in complementary products for our fiscal fourth quarter. In Steel Framing, while noting the underlying raw material pricing appears to have bottomed and many suppliers have initiated price increases, our current expectation is for our steel prices to continue to decline each month sequentially in the low to mid-single-digit range for a net year-over-year decline of 20% to 25% for the fourth quarter. We believe our steel prices should bottom at some point thereafter, and then increase slightly, consistent with those of the underlying raw materials market. With outsized declines expected in steel, offset by growth in the balance of our other major product categories, we currently expect total net sales for our fiscal fourth quarter to be flat to down low single digits as compared with the prior year period. As a reminder, we will have one less selling day in our fiscal fourth quarter as compared with a year ago. Gross margin percentage for the fourth quarter should remain roughly consistent with our longer-term trend of around 32%. And finally, we expect to deliver adjusted EBITDA of between $139 million and $144 million for the quarter. We're looking forward to a solid close to what to date has been an outstanding fiscal year for GMS. We enter our fiscal fourth quarter with the same commitment to deliver best-in-class service to our customers that has helped drive our success all year. Our scale, wide breadth of product offerings and demonstrated ability to service each of our customer types positions us well as we expect a near-term shift in end market demand towards multifamily and commercial. We intend to continue to execute against our strategic priorities to deliver value to our shareholders, our supplier partners and to our team. Thank you for joining us today. Operator, you may now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Trey Grooms with Stephens Inc. Please proceed with your question.
Trey Grooms: Hi, good morning, everyone. Thanks for taking my questions. So on the Wallboard guide for next quarter or I guess the April quarter, JT, you mentioned you're looking for year-over-year pricing growth of mid- to high teens. And if I'm math right, I think that translates into something like kind of like flat to up mid-single digits sequentially. So with that outlook, how much of that kind of flat to up mid sequentially. How much of that is from mix - a mix benefit from more commercial versus maybe like like-for-like pricing actually increasing there?
Scott Deakin: If you look at the third quarter as kind of an indication of the trend, we actually had a little bit of decline on true price offset by mix. But as the quarter progressed, it actually starts to shift, where we're seeing a little bit of gain in both. So our view is probably in the ballpark of sort of one-thirds, two-thirds with the majority of it coming from mix versus price.
Trey Grooms: Got it. okay. Thank you for that. And then thanks for all the detail you guys gave us around your kind of outlook here for end market demand and that sort of thing. That was super helpful. Could you remind us what the mix is as far as demand for the Wallboard segment between - when you kind of think about the res side, between multifamily and single family and then also kind of commercial because I know it gets a little fuzzy with multifamily. If you could just maybe help kind of unpack that for us.
John Turner: Yes. I mean total residential 65% in volume, 35% commercial, multifamily is a little - 10% to 12% in there for volume. We told - we've - in the past, we've talked about single-family residential representing about one-third of the revenue in the business. So two-third of the business is multifamily and commercial in revenue. But to answer your question, Wallboard, roughly 65% residential, 12% of that being multifamily, the balance being single family.
Trey Grooms: Okay. Thanks for that. JT, I'll pass it on and jump back in queue. Good luck. Thank you.
John Turner: Thank you, Trey.
Operator: Thank you. Our next question comes from the line of Keith Hughes with Truist Securities. Please proceed with your question.
Keith Hughes: Thank you. A question on the nonresidential demand, you're guiding us to mid-single digits in the fourth quarter. Looking beyond that, what do you see the trends for the rest of the calendar year? And if you could talk about construction versus remodel.
John Turner: Yes. So new home construction is probably, still we're viewing that as maybe down 25% - 20% to 25%. I think some people had as high as 30%. I think in the January, February time frame, you were hearing people talk about 15% to 20%. So I think we're taking kind of a conservative view in that regard going forward. You certainly saw that in January, February, the move of interest rates down with the 10-year treasury being in the low 3s and the reflecting 30-year mortgage rate getting into the low 6s. That brought buyers right back. So I think that's a wonderful sign of the future. and likely of what we'll experience. But at the moment, of course, we're reporting two weeks behind others. And today, you're talking about a 10-year treasury over four , so pretty quickly, right? So I think that it's going to be a difficult single-family construction year. But I think it's going to be a very strong multifamily year, too much in the pipeline, hundreds of thousands of starts sitting out there in the backlog, unit starts in the backlog. And yesterday, the commercial numbers came out. And I would tell you, I was very pleasantly surprised to see another month as strong as January in particular, as strong as it came out, particularly in things like office, which until the last three or four months have been flattish to down in that census bureau reporting. So I feel good about commercial. We might be a little conservative in our commercial forecast, quite frankly, for the year.
Keith Hughes: Okay. And your guidance for the quarter of flat ceiling pricing. Could you talk more what's going on there? Are you actually seeing some - such a break in trend. Is there something specific with comps or price is actually going down? What's the flavor on that?
John Turner: Well, we were up 15% in the prior year quarter. So we had a huge increase in the prior year quarter due to some very specific projects. So yes, we have a comp issue there, but also, we include grid in our ceilings pricing. And other people don't necessarily include grid. I say other people may - certain manufacturers don't include grid oftentimes in the discussion. So we see grids because of steel, Keith, we see grid coming down. So we still see the long-term trend in tiles as being resilient price.
Keith Hughes: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Steven Ramsey with Thompson Research Group. Please proceed with your question.
Steven Ramsey: Hi, good morning. To start with on the share gain in Wallboard and Steel Framing, can you share more on if this sticks even as end markets adjust and what kind of underlying is driving that share gain?
John Turner: Yes. I think that the continued consolidation of the space as well as our Greenfield activity, our acquisition activity, and just in general, committing to service to the customer base as well as some national account gains on the residential side, continuing national account gains there. I think that's the key for us. As commercial strengthens, we - prior to this strange pandemic period going all the way back to '19, we are weighted heavier commercially, right? So we're stronger in steel to begin with. And so I would expect to hold on to some of those share gains. And we're very focused on making sure that we're getting those commercial projects. I mean, it's very, very important to our team and to our business, that we go out and we stay aggressive in our pursuit of those commercial projects. But also, we do have the wherewithal, as you know, with one of the largest boom truck fleets out there to service that business effectively, and a history of doing so in all hours of the day and every day of the week.
Steven Ramsey: Okay. That's helpful. And then the New York acquisition and opening there complementary and commercial focus. Is that something where you see your subs adding Wallboard into or staying in those product sets? And then more broadly, is there a pipeline of deals that are more complementary products focused? And is that an area to be more purely complementary acquisitive?
John Turner: Yes and yes, is the answer to that question. Undoubtedly, we'll be in the Wallboard business in New York City at some point in time, when and how we do that remains to be seen, but we'll definitely be there. We're really excited to have acquired a really good team in Tanner Bolt & Nut, very experienced tools and fasteners team. And certainly, that we would expect to continue to grow that complementary piece organically and inorganically with similar acquisitions in other markets.
Steven Ramsey: Okay. Excellent. Thank you.
John Turner: Thanks Steven.
Operator: Thank you. Our next question comes from the line of Jeffrey Stevenson with Loop Capital Markets. Please proceed with your question.
Jeffrey Stevenson: Hi, thanks for taking my questions today. First, I was wondering if you could talk about how Wallboard volumes trended throughout the quarter? And when slowing single-family demand started to show up in results. And then, John, you called out a regional single-family declines. I just wondered if you could further elaborate on kind of variances you're seeing from a regional perspective?
John Turner: Sure. I mean November single-family volumes were relatively flat on a year-over-year basis and then December and January sequentially worse, and really into February, quite frankly. So we're seeing that decline in single-family. On the other hand, we got a little stronger in multifamily through that period as well as a little stronger in commercial through that period. So we are seeing the multifamily and commercial offset so far that the degree of decline in single family. From a regional perspective, really, it's the backlog remains in the South, the Southeast and the Mid-Atlantic up into the, what I would call, the southern part of the Northeast and the balance of the country has pretty much work through the backlog, I would say.
Jeffrey Stevenson: Okay. Very helpful. And then just on your complementary products business. Just how you're thinking about that moving forward in a slowing single-family demand environment? I mean, obviously, you had a little bit of inflation on that side. But overall, given your heavier commercial concentration, it should hold in relatively well on your results and core categories you highlighted were very strong in the quarter. I just wondered if you could give any more kind of color on how you're thinking about that business moving forward.
John Turner: Yes. I mean it weights a little commercially, maybe 60%, 65% commercial. The offset to that is really the installation materials that go along with Wallboard as Wallboard volume slows down, taping et cetera, right? That's still a decent part of the category that's really where the residential waiting is. But yes, tools and fasteners, almost all of our insulation business is commercial as well. And of course, EIFS, Stucco there is a residential component there, but mostly multifamily and low-rise commercial for EIFS and stucco. So I think your point is well taken. We are weighted more commercially in our complementary category.
Jeffrey Stevenson: Okay. Thank you.
John Turner: Thank you.
Operator: Thank you. Our next question comes from the line of Mike Dahl with RBC Capital Markets. Please proceed with your question.
Ryan Frank: Hi. This is Ryan Frank on for Mike. Thanks for taking my questions. So I guess, given the magnitude of volume that declines that you're talking about, especially on the residential side, I guess I am just kind of surprised by the relatively little SG&A cost outs. Can you just talk about how you're thinking about that over the next 12 months? And if really commercial and multifamily can actually offset that?
John Turner: Yes. I mean if you look at this quarter's guide, right, it's a lot stronger as far as on a year-over-year basis, the G&A and the leverage. A couple of things that happened. One, steel prices are an issue on in - when you're talking about leveraging SG&A for sure, and that's going to continue to be a headwind for a little while. But this was the winter quarter, and that weather was very difficult, particularly the rains on the West Coast, really unprecedented rain and then we had exceptionally cold weather, a little harder than previous year. So that creates an issue around our ability to be productive as we continue to try to service the business. You can imagine, right, trucks are getting four deliveries today, but in that kind of weather, they're getting one or none. And so you've got a lot of issues with SG&A in that regard as well. And also, as this is really the first quarter, we're seeing those declines, the variability of that doesn't come out until we actually stop shipping it. So that's why I think in this quarter, you're looking, again, if you look sequentially at the increase in dollars you're seeing this quarter reflect that variability coming out, the variable expenses coming out. Now on top of all that, I will tell you, the reality is everybody faces the same thing. I mean our wages are higher than they used to be, right? I mean it's just inflation. And there's not much we can do about that in the near term. But I do think you look at the fourth quarter sequentially and you're seeing us react and reflect what we're expecting in volumes. And all that being said, while we're talking about high teens declines in builder business, we are delivering a richer mix of products at a higher cost into that commercial and multifamily space. And both of those are as of now, still they're good. Multifamily is going to stay very good.
Ryan Frank: Got it. Okay. So I guess just to follow up on that. It seems like SG&A should continue to delever a bit even if part of it is just because of mix, higher cost to serve.
John Turner: Yes, that's very hard - I mean you got a 25% decline in steel price in this number, right? That's pretty tough. So - and we're still delivering it. And while we're talking about volumes being down slightly, it's very low on a year-over-year, a couple of percentage points down in volume. So not the difficult headwind to face for sure on a year-over-year basis.
Ryan Frank: Got it. Helpful. And then if I could just touch on the M&A pipeline. You said it still remains pretty deep. Do you see owners kind of looking forward at a slowdown and trying to get in front of that? Are they still looking at trailing results and asking for those types of multiples. If you could just talk about how you think privates are feeling right now.
John Turner: I mean it's a little bit of both. I think that people that are really heavily weighted on the residential side, obviously, are more concerned than people who have a balanced business. I don't see anybody panicking when we're talking to them. But I do think the valuations that we're talking about right now are reasonable in consideration of where we're trading and also historically where we were able to make acquisitions. So let's just say we're starting to get into a little bit more of a sweet spot. And I hope that stays the case. Because certainly, over the course of the last, let's say, a year, those valuation expectations were unreasonable against inflated results in some cases.
Ryan Frank: Okay. Thank you very helpful. I'll pass it on.
John Turner: Thank you.
Operator: Thank you. Our next question comes from the line of Matthew Bouley with Barclays. Please proceed with your question.
Elizabeth Langan: Good morning. You have Elizabeth Langan on for Matt this morning. Thank you for taking the questions. Would you mind touching a little bit kind of digging into commercial a little bit, talking about what you're seeing in specific verticals and kind of how the order activity and like the quoting is trending?
John Turner: Yes. Quoting activity is improving pretty strong. Order activity, I would say, is still on the uptake, but it's really more across the whole spectrum of commercial. Everybody is pretty strong or getting stronger, let's say, over the course of the last few months commercially. Even office is showing some signs of life. Now we'll have to see what that is directly. But even that category, which we've been talking about being muted for a long time, seems to be showing some signs of life.
Scott Deakin: Just to add, if you look at the census data that just came out and the relative strength of those categories, that's pretty indicative of the kind of quoting activity and shipping activity, et cetera, that we're seeing in our business as well. There's a pretty good alignment there.
Elizabeth Langan: Okay. Perfect. Thank you. And then kind of switching over to Wallboard a little bit. If you could talk about where you're seeing manufacturer utilization? Because obviously, I am - pricing was - ticking a little bit higher to exit the quarter, I think that would be helpful if we had like a sense of how the channel is looking, in the supply chain.
John Turner: It's really quite regionalized, I would say, at the moment and moving more in that direction. There's a lot of issues that manufacturers are facing some raw material changes between synthetic gypsum and the natural gypsum energy costs in different parts of the country, et cetera. But I'll give you, in general, Texas West minus the Mountain states is pretty in general, slower than the South, Southeast, Mid-Atlantic and Northeast. So look, if you look at the total numbers for 2022, the utilization was still pretty good, right? High 80s, probably low 90s.
Elizabeth Langan: Thank you very much. I appreciate it.
Operator: Thank you. Our next question comes from the line of Quinn Fredrickson with Baird. Please proceed with your question.
Quinn Fredrickson: Hi, good morning. I just wanted to touch on the multifamily outlook and the strength that you're seeing there. Based on JT, your comment about backlogs, are you thinking over the course of the remainder of the calendar year that multifamily can still see pretty good growth? Or is it just we kind of have to get to the middle of the year and see what comes after that?
John Turner: I mean if you just look at pure numbers, you would say it probably could go a little longer than the middle of the year, just the pure numbers. But we - I'm going to wait and kind of look in the middle of the year to see how much the backlog gets built and how quickly it gets built. But each quarter, we'll be able to kind of get a little bit better view of that. But for sure, minimum, you're looking at July, August before you start seeing any kind of year-over-year difference in this 20% rate we're at right now. And of course, the further we go with 20% growth, the comps become more difficult as we go forward, right? But if they. If all those starts get completed, I mean, it's hundreds of thousands of units in backlog.
Quinn Fredrickson: Okay. And then any commentary on what Wallboard price cost looked like in the quarter and expectations for the fourth quarter. I know you've got a favorable mix going on there, but just kind of setting out aside what price cost look like. Thanks.
John Turner: Yes. I mean I think that we'll still see pressure on the residential side slightly and - but the mix shift is going to help. So let's just call it neutral.
Quinn Fredrickson: Okay. Thank you, guys.
John Turner: Absolutely.
Operator: Thank you. Our final question this morning comes from the line of Keith Hughes with Truist Securities. Please proceed with your question.
Keith Hughes: Thank you. The last couple of months, there was a pretty good size transaction in your space of a division of One Wallboard division getting sold off distributor. Where do you think that leaves the industry in terms of market share between yourself and your two largest competitors?
John Turner: We felt that...
Keith Hughes: In total.
John Turner: In Wallboard, we felt like the U.S. LBM divisions were roughly about 5% of the market, Keith, in Wallboard. So ABC picked up about 5% with that acquisition or whenever it closes, I don't think it's closed yet. Maybe it has. So that's, again, some additional consolidation, but that still leaves probably 25%, 30% of the business with smaller independents.
Keith Hughes: So do you think the three of you could have upwards of 70% share post that trend?
John Turner: No, no, those home centers have 20 - home centers have plenty in there, Keith. So 30 ,minus 20, 30 plus 20, 50%. Maybe the three of us have 50%.
Keith Hughes: Okay. Thank you.
John Turner: Okay. Absolutely.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. And that concludes our call today. We thank you for your interest and participation. You may now disconnect your lines.